Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Vitru Limited Fourth Quarter 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]  I will now like to hand the conference over to your speaker for today Carlos Freitas, you may begin.
Carlos Freitas: Thank you, operator. Good afternoon everyone. Thanks for joining us. It’s a real pleasure to be here with you all for our first quarter as a public company, after the full year results. Hope all are doing well and healthy at the same time. A slide presentation has been made available for us for today's webcast, which is available, as you know, in our Investor Relations website, which is investors.vitru.com.br. I trust you all have this presentation in front of you. And of course, before we begin, I like to make note that as detailed on Page 2 of the presentation Safe Harbor is in effect for this call. So now I like you all to go to Page 4 of the presentation. So this page basically highlights what we accomplished in 2020, 2020 and what’s ahead in 2021 will be first. First, last year, which despite all the challenges that we all have faced and are facing today still, this was a tremendous year for us here at Vitru for our content including, of course, our IPO in the U.S. six months ago. Last year we continued our growth journey on several fronts of businesses. First, growth in the number of students sales, EBITDA, net profit, and margin. Second, growth in quality, for example, with the new versions of our content platform and our app, which is available to all our students. Quality as well confirmed by the latest results of the IDD indicator, as released by the Ministry of Education in October of last year. This IDD is the highest among all the latest players in Brazil. This is obviously a certification of our quality standards here at Vitru.  And third, growth in the satisfaction of our employees, as measured by the most recent survey of Great Place to Work that we conducted here last year, in which we reached our highest grade ever. All of these initiatives will be discussed in more details throughout my presentation for you today. And looking forward to this year we are very excited about 2021. First, we will deliver again important organic growth in our numbers. As you know, the strong growth we have delivered so far has been purely on organic basis. This growth will come again this year, from the maturation of overheads, the opening of new ones, as we have done so far, throughout the country and also our constant focus on operational efficiency and leverage. But we are truly confident that we can also create value for our shareholders through M&A and this deployment of our digital expertise. And we have the balance sheet results. And all these issues I'll be discussing with you a bit later today. Now moving to Page 5, please. Let me reinforce some of the highlights from this quarter and for the full year. As our mission we launched this new brand version of our Gioconda digital platform, and also enhanced version of our app, which is called Leo, improving even more the user experience. We started two new businesses, both still are pilot projects, first, a partnership with Smart Fit and Uniasselvi, during the quarter both of them with a lot of potential. We reached last year a very important milestone. We have now more than 300,000 students in digital education. That's a huge achievement. And, of course, financial performance was also very strong. That's right in our core Digital Education Undergraduate segment increased by 26% in 2020, and 33% in the fourth quarter of next year, compared to the fourth quarter of 2019. The consolidated adjusted EBITDA grew by 25% last year versus 2019, with the adjusted EBITDA margin reaching 28.2% last year, an increase of 2.7 points versus 2019 and 100 basis above our guidance that we provided in November of last year. And adjusted net income up 70% last year compared to 2019. Now, let me explain better about each of these points for you, starting on Page 6. That's the Page 6 the very core of our digital delivery for our clients. We are always looking to improve the academic experience for our students with digital solutions, which became even more important now with pandemic. So we are very, very proud of the new versions launched last year of our Gioconda digital platform and the Leo app. For example, the Gioconda platform, which is here on the left part of the slide, now has some adaptive learning tools through which the student has a much more customized student experience and much more, I would say, a personalized experience for him or her. The Leo app here on the right provides a full mobile and user-friendly access to our students, which is more and more important in a mobile-oriented country such as Brazil, as you know. All the academic content is available there at our mobile app. It has as a well-integrated support towards that. And last year, we changed as well the apps. So now, the Internet access is paid by us. So the student has no cost to exploit the full capacity of the new Leo app. Now on Page 7 to go a bit deeper about this partnership with Smart Fit, those partnerships, they are also very instrumental in the growth that we deliver and expansion of our offerings. So this is just the first partnership with Smart Fit that we signed and released to you in January of this year. This is clearly a very good partner for us. For those living abroad and who don't know it, Smart Fit is the largest company of gym centers in Latin America. They have around 865 fitness clubs, of which slightly more than are 500 in Brazil with a solid brand and steady growth last year, just like Uniasselvi is doing. We are now offering a graduate course in fitness for their employees. And in fact, we launched a new course model with them open for the general public, in which we provide the digital, and of course, the advanced experience for the students, and Smart Fit provides the gym facility, the gym centers for the personal classes. Again, this is so far just in final process and we have nothing to report, still, but the potential here is clear, particularly because health and wellness, we are sure, that it's increasingly more important to consumers, especially now after the pandemic. So more partnerships will come, and we hope we can announce more of them soon. Finally, as I previously mentioned, we launched new technical courses, which are also part of our strategy to expand the offerings, and we will come back to that later on this year as we have more numbers to show to you. So now, moving to Page 8, which provides a gist of the growth of our student base. We have almost 310,000 students. 95% of them are enrolled in digital education courses, and we focus on the student base in Digital Education Undergraduate, which, again, is our main business by far. You can see that we have a CAGR of 30% in the last five years, since 2016, and we have maintained this level of growth last year. As we have also disclosed in the release of our third quarter of last year, our intake in the second semester of last year was 40% higher than the intake in same period of last year. In the first semester of last year, the intake growth was 30%, so a substantial improvement and growth here as well in the intake side. These numbers confirm the effectiveness and the competitive advantages of our brand model. So as we have been saying and trying to highlight, since the IPO, we do have a different product. And the market dynamics was also very different last year as well. On one hand, the current economic crisis did, of course, affect the willingness of some of our prospects to enroll in our courses, that's clear. On the other hand, with our hybrid model, we do offer a compelling and high-quality alternative for those people – for those prospects who need the support and the sense of belonging offered in all campus courses but they can't pay high expenses and tuition. And we do offer in our hybrid model, this sense of belonging, this handholding for all with tutors and this experience of going to university. So this fact, together with the customer changes brought by the pandemic about working from home, buying from home, studying home, of course, this represents a huge market opportunity for us going forward. On Page 9, we show the increase in our Digital Education student base throughout Brazil. Last year, we expanded substantially in the whole country, well above the market growth rate. That's important to highlight. And this is a market that has been expanding a lot in the last four or five years. And in our opinion, we'll expand even further now in the post-COVID scenario. So within this growing and appealing markets, we have been growing faster than the competition. Our growth was – last year, especially importantly in the Southeast region of the country, where we had been historically I would say, shy, but where we have been expanding a lot in the last two years. This is a huge and a very competitive market, of course, but where our hybrids and tutor-based different academic model can attract a lot of students. And it proves itself as the best learning option. So once we enter a new region – once we enter a new city, we quickly grow and we quickly attract new students to our hybrid and total center model. Here on the right part of the slide, we can see as well the evolution in the number of our hubs in the last five years. We have been opening, on average, slightly more than 50 – 150 hubs per year, mostly with partners, which is our business model. 88% of these hubs were opened after the change in regulations that took place in 2017, so they are still not mature. Those are what we call the expansion hub. And we shall maintain a substantial growth in the student base in our digital education undergraduate segment and our more than 630 expansion hubs and they mature over time, which is better illustrated on Page 10. So here, this is a chart that I like a lot because it shows, obviously, the competitive strength of our model and the consistent growth of our cohorts. This is, by far – by the way, this is by far the most important driver for our organic growth, the maturation of our expansion hubs. These expansion hubs, which we split by cohort here in the chart on the right, they are still ramping up. This growth pattern is very, I'd say, consistent over time. They are maturing over time. They show reaching maturity after seven or eight years of operations. So none of them are mature, none of those extension hubs, they are – none of them are mature. And to effect this growth potential, we created this theoretical maturation index, which is basically the number of students currently enrolled in these hubs divided by the future number of students in the same hubs once they reach maturity. So this index is growing at around 30%, which means that it's a huge potential and do help to have the capacity to increase their base threefold in the next years. Of course, just a slight reminder. It's important to highlight that this index takes into account all expansion hubs, so it can, in fact, even decrease from month-to-month as we open new hubs. But if we take only the 2018 cohorts, just to compare apples to apples, the maturation index of these hubs in this cohort increased from 36% in December of 2019 to 50% in December of 2020. They reached – they went from 44,000 to 55,000 people over the last year. And finally, just to summarize, this is growth with limited execution risk because all these hubs are already opened. We have already found the partners and hired and contracted the business partner, the tutors. The Uniasselvi brand is already there, working in our favor. So there is already a virtuous cycle working in our favor there. So this is growth with limited execution risk. Now on Page 11, you can see more details on the tuition and net revenues for our Digital Education Undergraduate segment. There was a substantial growth in both the annual and especially the quarterly figures for the fourth quarter of last year. This was due to a combination of, first, strong new face, as I mentioned already, and the maturation of hubs, with controlled dropout and a slight increase in average ticket, as we can see now on the next page, Page 12. Here on Page 12, on the left part, we highlight that the increase in intake and expansion of our student base did not come at the expense of average ticket. Our ticket was at this quarter – or this half of the year, in fact, increased by 3.5% versus the second half of 2019, which meant an increase of average ticket variation more or less over this period. And this was despite the sizable number of new students. I mean, as you remember, as you know, we have a model academic approach to reach a new student base – he or she can join us throughout the semester, throughout the first semester of the classes. So most of them did not provide a full semester of revenues, so it confirms that the strength of our brand and what we have been saying to you, we have a different market positioning, and we offer a different product. It is important to highlight here as well that the substantial seasonality in the dynamics of everything throughout the year, so please, only compare year-on-year numbers. Never compare quarter-on-quarter or the first half of the year with the second half of the year. The dynamics throughout the year is different. Now on the center part of the slide, you can see here the contribution of health care and engineering increasing. So the increase in ticket was also supported by our mix of courses. So – and now we have a higher participation of health care courses, such as nutrition and pharmacy and biomedicine, for example, and engineering, slightly but steadily growing as well. So this provides a nice prospect for our ticket size as well. Finally, you can see on the right part of the slide that our retention rate was even slightly better than what we saw last year – or in 2019, in fact, despite the effects of COVID, which affected the retention rate in the first half of last year. Here, I think it's important to highlight that we improved our retention rate slightly, even growing a lot our intake seniors. And as you know, the dropout and PDA value is much higher among newer students than among seniors. So we not only grew a lot the new student base but also includes slight, the retention and tickets. Moving on to Page 13, as you remember, we – in November, we provided you with our guidance for the full year of last year. This was exceptional because we had – we were in the first release after the IPO. So we provided the guidance on net revenue and adjusted EBITDA margin for the full year. As you can see, our final net revenue for 2020 was at the very high end of the range, reaching R$519 million. Regarding the adjusted EBITDA margin, we exceeded, as I mentioned before, by 100 basis points the range, and reached 28.2% last year. So we are delivering, and we'll keep delivering the expansion in revenues and margins that you all expect from us. Now on Page 14, you can see the growth in our business in every financial perspective. First, growth in net revenue, led again by expansion in Digital Education Undergraduate, as we have just discussed. Second, an important increase in gross margin and gross profits. And this led by gains of scale by a constant focus on personnel cost efficiencies and increased digitalization. And third, expansion in our adjusted EBITDA margin, which is explained better in finance. First, let's talk about revenues on Page 15. We provide this bridge with the main variation in net revenue between 2019 and 2020 and fourth quarter of 2019 and fourth quarter of 2020. So if you focus now on the yearly numbers, you can see that growth in net revenue was again driven by the expansion of Digital Education Undergraduate. And this growth was dilutive, if I maybe call it, by reductions in both Continuing Education and on-campus segments as it appears on next page, Page 16. So on Page 16, if you focus first on the Continuing Education, we had a 11% growth in the revenue, in the gross revenue of graduate courses last year. So there was a slight growth of 11%. This is a business that suffered more than the undergraduate segment, the effect of the pandemic, especially because the hub workload and those hubs used to be an important piece in the sales machine of our graduate courses. But we recently made some changes in the marketing and in taking courses here, so now we present – we averaged today a very positive rise, so we should expect a mild growth already in the numbers of the fourth quarter of the year. There was another factor that explains the decrease in the performance of the Continuing Education as a whole, which is here the yellow part of the chart. In 2019, we had a very high bar, especially the first half of 2019. We benefited from some profitability in contracts, which importantly is called [indiscernible], which basically disappeared last year with the pandemic. And now, they're planning to come back. So that was a level of high comparison base in 2012, and now, we expect to deliver more numbers on that in 2021. Regarding our legacy on-campus segment, it has been declining over time. As you know, we have been saying, and that's in line with our view for the whole – both the education sector. It's now much more concentrated on courses not offered to digital education such as law, nursing and psychology, for example. And we do believe that its relevance for us will reduce over time, which means that the weighted average growth, the consolidated growth going forward tends to increase as this business tends to be less and less relevant over time. On Page 17, we provide the bridge with the main variations in the EBITDA for both the quarter and the full year numbers. I believe here, we have three main highlights. First, the continuous increase in our operational leverage and expansion of our gross margin and net margins. As you can see, the cost of courses and the G&A as well were virtually flat, both flat over – of the year on an annual basis, and they reduced to roughly 44% of net revenues in 2020, meaning at 34.7% for cost of services plus 9.2% for G&A. Selling expense as well as another highlight. It increased slightly to 60% of net revenue. As a reminder, most of the expenses are related to the dating process, especially and basically for digital education undergraduate segment, which means that they are encouraged to attract new students. So the stronger the intake, the higher the selling expense. And means, what's more here, is the tax for the customer, additional cost. And I'll come back to this a bit later. Finally, PDA, it also increased a little bit in 2020 to 14.8% of net revenues. Here, we have a combination of mix of students and the situation of the country. We'll shed more light on all of these issues in the next slide. So Page 18, we come back to the gains brought by operational leverage for cost of service as reported in our adjusted EBITDA calculation, reduced slightly on a yearly basis from R$182 to R$180.4, reflecting gains of scale, optimization and personnel costs, and the increased digitalization throughout the segment. As a percentage of net revenues, you can see here, there was an important reduction from 39.5% to 34.7% of net revenue for next year. G&A expenses, again, as reported in our adjusted EBITDA calculation, increased by only 11% last year. It means that as a percentage of net revenue, G&A expense were slightly smaller than in 2019, and they shall keep reducing over time as a percentage of net revenue in our report with a gain of scale and dilution of these fixed costs. This – say, this performance illustrates our constant focus on maintaining a lean administrator and to support our digital and agile, strategic orientation with efficiency in mind. Now going to the selling, seniors' expense on Page 19. For selling expense on the left part of the chart. Last year, there was increase in selling expenses of roughly 1% of net revenue from 14.9% to 16%. Two reasons for that. First, last year, we were and we are still today at the peak of this ratio between intake and seniors. Second, the hubs play an important role in the selling process. So they were closed, so we had to rely more – a bit more on digital media last year. This will be the case as well this year. However, if we look at the cash, as I mentioned before, there was an increase in efficiency. So when you take this annual selling expenses and divide them by the yearly intake of Digital Education Undergraduate segment, you can see, and that's in our release, that the ratio was slightly smaller in 2020 than in the previous year. Regarding PDA on the right, as explained to you in the last call, we adopted – we changed a little bit in the fourth quarter of 2019 our PDA policy. We had a modest PDA policy in 2019, as appropriate before the IPO. And that's why the PDA column in 2019 had this certain profile. But at the end, and there's more here, is the yearly PDA as a percentage of net revenue, which went from 12.6% in 2019 to 14.8% last year. There were three reasons for this.  The first one, the higher percentage of newcomers in our base, [indiscernible] which expanded as well, increase in some expenses. Second, and this is a bit technical. The average aging in our accounting – in our accounts receivables is now – was in December of last year slightly older than in the previous year, which means that in 2020, we already recognized a bit more of this PDA losses in our P&L than what we have done in 2019, which indeed, was mid the expected lower recognition in 2021. And third, of course, the economic crisis that we are also in, and this affected the capacity of payment of our clients. So in this context, I do believe that the slightly increased PDA was justifiable. Now moving to Page 20, you can see that there was a substantial expansion of our adjusted net income in 2020, which increased by 70%. The main driver for it was the expansion of the business as a whole and the expansion of 25% in the EBITDA number last year. We also had the positive effects of a higher recognition of before tax assets, which we have a positive cash flow impact this year in 2021 and in the next year. And also, we had some assessments last year just after the IPO. On the right, we have the cash flow from operations, which improved substantially last year, increasing 44% to R$142 million last year. Once again, this increase was driven by the outstanding performance of our Digital Education Undergraduate business, but of course, backed by our continued discipline in receivables management. With that, our adjusted cash flow conversion from operations reached 88% last year coming from 25% in 2019. So this financial position enables us to support our growth plans, which are in the next two slides. So Page 21, the organic growth, and again, so far, our growth has been purely organic. This has been accomplished and will be accomplished in next year through the ramp up of current hubs. As I mentioned already, by adding new hubs, as a reminder, we have the capacity – the regulatory capacity to open 500 hubs per year. We also expensed by providing new courses as they are allowed in digital education and especially law, one day, but also, psychology and nursing, digitally constrained. And as I mentioned before, by adding second courses. And finally, by growing further the Continuing Education and graduate courses, which increases the lifetime value of our students at a marginal cost. Finally, to close on Page 22. Let's talk a little bit about inorganic growth opportunities, which means M&A. As you remember, the net proceeds for our IPO, slightly less than $100 million, will be used basically for M&A. So we have today several discussions – several active discussions with potential targets in these two pillars that we defined before the IPO: investment in EdTech should bring new features for our services; complementary products to enhance our portfolio; and, of course, when it make sense and when we can create value, consolidation. And we do hope and we will announce to you soon our first M&A. So with that, this ends the first part of this meeting, and we are now ready to take your questions. So operator, please open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Thiago Bortoluci with Goldman Sachs. Your line is open.
Thiago Bortoluci: Yes. Hi, Carlos and team. Thanks for taking question. Moving to the forward, one question that we're currently getting here in our broad retail coverage is the financial health of the franchisees. In this sense, I would like to hear from you guys an update on the accelerated rebate curve, especially if you have been able to apply the higher fees as per original plan, and if so far you saw any changes in terms of churn regarding the owners of the hubs. That’s the question. Thank you very much.
Carlos Freitas: Thank you for the question. No, there was no change in churn, no change in the satisfaction level of our partners. Our churn is quite small. It's around 3% per year, every year. It did not change in the last month. So the partners, they make money with us. That is very important. We always try to make them make money with that. And that's why we created this, I'd say – the clients definitely are incentivized as well to expand with us and to look for the gains of scale. So that's what they've been doing, and that's – and we have been opening, again, more than 150 hubs, most of them with partners. In fact, in our most recent opening of hubs that we are doing in the beginning of this year, more than 90% of them are with partners. If you remember that historically, our number was around 84% with partners. Now already this year and hope that we are opening in the fourth quarter of this year, more than 90% are with partners for 2021, in fact, for the whole year. So just to show and to prove that they are happy with us, and they are making money with us.
Thiago Bortoluci: That’s clear, Carlos. Thank you very much.
Carlos Freitas: Thank you.
Operator: Thank you. Our next question comes from the line of Javier Martinez with Morgan Stanley. Your line is open.
Javier Martinez: Thank you. Thank you. Hi, Carlos. One of the key debates we have with investors during the IPO and after the IPO was about prices, the capacity to keep the good historical performance of prices. That was quite impressive. Once again, you are increasing prices and above our expectation, in my view, quite impressive, given that the weight of newcomers is increasing. So maybe – you mentioned that part of that is mix, but if you could give us a little bit more color how much of that is mix, how much of that is like-for-like prices? And if those dynamics – if you expect those dynamics to continue going forward?
Carlos Freitas: Hi, Javier. Thanks for your question. Price is a mix of several things. First, it's a mix of when the student or the newcomer joined us, as I explained before. That is a matter of what is the runway ticket that this guy will pay in the beginning of the second semester, for example. It is also a net of mix of courses and a matter of the annual adjustment that we make on seniors on a yearly basis. So far, we have been able, first, to invest – actually, [indiscernible] to have a nice performance. The mix contribution here last year was not that important because it is still – I mean the engineering and health courses are new, so it in terms of base, they're still growing. So going forward, they will be a more important contributor. But frankly, 2020, there was not that much contribution from that. It's a really – I think the contribution was, first, the discipline in the ticket for newcomers, and we are participating on that. And this is, I think, one very important thing that we do to try to maintain this balance between growth and ticket. The second important thing that – especially important last year and this year will be different is the profile of the intake. The profile of the intake this quarter is different from what we have seen and does not yield for everybody. For last year, we had a very start – some start in the beginning of the year, and for this year, the profile has changed a little bit, so it’s a bit more delayed, the intake. We have now a stronger intake. So far, we have grown our intake in high teens, high teens until today, until the 31 of March. And all that before – and then, of course, for us, in principle, not that relevant, but in fact, it is. It's okay because it is when people are looking to – for production. So we have seen already in the last two days, a very important increase in interest and in new course. So last year, the curve was very, very, I'd say, normal, very strong in the beginning of the year in January, for example, which helped in the average ticket. And finally, it's also very important. Throughout the course, we increased the price for student administration. We did this year as well, as we have been doing in the last years. And this is, I'd say, a very, very important sustained sector for the average ticket because the price of the seniors are very, very important to sustain the overall ticket. So going forward, I think the only thing that will change, or the most relevant thing that will change, in fact, this year – or, in fact, this intake cycle is the curve, is the profile of newcomers, which is more back-ended. So in terms of revenue recognition, this quarter, we will always see this change. But the numbers are good. As I mentioned already, we are already in high teens. It increased year-over-year so far. And it should take the same tier up to 31 of March of last year or part of this year. And remember that last year, – with the competitor the intake cycle was very poor, [indiscernible] for example. So we are confident that we will still deliver a nice growth ahead of us for the intake.
Javier Martinez: Carlos, if I may follow with another one. So obviously, your retention rate was good and improved. At this point, it's still probably a little early, but maybe talking about the seniors, you mentioned about the seniors, you already have some information on the re-enrollment, so how is that moving? Is that – is next year – is 2021 going to be another good year in retention rates?
Carlos Freitas: So far, the re-enrollment is good. It is as expected, which may be slightly smaller than what we had last year. And that's being the clear difference between the pre-pandemic and post-pandemic reality. It is a good number so far, but it is slightly more than what we had last year.
Javier Martinez: Understood. Thank you, Carlos.
Carlos Freitas: You are welcome.
Operator: Thank you. [Operator Instructions] I am showing no further questions in the queue. I’ll turn the call back to you Carlos.
Carlos Freitas: Thank you, operator. So I'd like to wrap up now on Page 20, please, with the key takeaways from it all. We had a very solid quarter and a very solid year, which positioned us quite well for future growth. As you know, we are based on the – still in a centric model, hybrid model, which emphasizes flexibility – combined with the flexibility and affordability, with, as I mentioned before, a sense of belonging and handholding and the support from a tutor. So this is proving to be an efficient and a confident way to grow over time. We delivered this growth prospect, as discussed with you, during previous quarter, and we remain focused on this long-term shareholder value creation by keep expanding top line and bottom line, and margins, of course. Enrollment and student base are increasing, as I mentioned before. And we do believe that we can further build on this momentum to keep expanding and keep maturing the hubs, which is an important way to grow the numbers.  All of that, together with M&A expansion that I mentioned already to you, and we hope to announce to you soon as opportunities arise. So we are in Vitru very excited about the future, and we believe we are in the right path for growth. So with that, I leave you. Thank you very much for the interest about our company. We look forward to meeting with you all. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.